Stephan Shakespeare: Thanks for coming again. Very pleased to report a very good set of numbers and the -- we've seen the strong revenue growth is ahead of the market at 21%. That is being driven as the -- increase in the operating profit, partly by the state of the pound, but is -- but more by the growth of our engine, which is the big strategic thing that you know we've been pushing now for 4 years consistently, and that's the Data Products and Services growing. The higher margin part of the business is now 44% of group revenue. We gave ourselves a target of 50% so we're getting closer to that, very close to it in fact. U.S.A. is now our largest region in terms of both revenue and profit. Previously, it was our biggest revenue. Now it's also our biggest profit which is because the revenue has increased but also the margin has increased, and that is, of course, really significant that things are paying off for us there. We have the advantages not only of products that are really popular amongst market researchers in the U.S., but also that we are increasing our profile. We are now the third most quoted research company in America, and that's a pretty big deal because it means that we can open doors and show our products and get known in the market, which is, of course, by far, the biggest in market research. Good cash conversion, 130%, with cash balances of GBP 23 million, and we've recommended an increase in the dividend by 43% to 2p a share. Current trading is in line with board's expectations. We've had a reasonably good start to the year. This is an engine that we've built that is continuing to turn, continuing to gain momentum, and we are on track therefore to deliver our extreme stretch 5-year organic growth plans. The organic growth is driven both by Data Products and Services. So you see very big increases there, 29% Data Products, 19% Data Services. Custom Research is flat. As you know, has been part of the strategy, which is to cut away the low margin and lumpy parts of the business, which is traditional Custom Research, and yet, it is contributing to our growth because Custom Research has grown in margin by trimming away the bits that are low margin and the bits that are not repeat revenue, and by focusing heavier on the trackers, the custom trackers, which do, in fact, use all of the advantages of the YouGov engine and are essentially a form of Data Services. We are getting more out of the Custom Research business as well. We are on track therefore to deliver our 5-year profit growth plan to -- which ends -- that plan ends in -- I know it sounds a bit Soviet but it's working for us rather well because it's driven us very hard, and we have another 1.5 years of it, 2 years of that to go. As you can see, we are meeting our target of 3 -- of a 5-year compound annual growth rate of 25% a year, and the momentum there is increasing. So I'll go over the detail of some of that in a moment, but first, the operational back end to that. But I'd like to hand over now to Alan for the detail on finance.
Alan Newman: Thanks, Stephan. As Stephan has said, the driver of our growth, the top line has been very much the Data Products and Services and the driver that has helped -- contributed to our increase in margins. And if you look at the P&L in front of you on the slide, you'll notice the 2% point increase in gross margin. And really, the driver, if you like, at the bottom half, the net margin down 2 percentage points is really that gross margin growth in the year, and that's reflecting 2 aspects of what Stephan has just described. First is our Data Products, in particular, have relatively low additional cost, in fact, almost no additional cost to each extra sale. They are inherently -- they're all on our panel, almost entirely on our panel there, and they basically are higher gross margin to start with, so selling more of those automatically should and does increase our gross margin. At the same time, reduced a lot of the activities in Custom that we've been scaling back on and being out of tended to be lower gross margin. A lot of the time, they weren't actually on our panel. So that double effect, if you like, of the share -- increasing our growth in Data Products and Services, reducing the nonpanel custom work has led directly to that gross margin increase. And that's, in fact, the main driver of our margin increase this year. And that's with our operating expenses being held constant at 66% of revenue. But with a mix change in that we have fewer researchers, for the first time number of our Custom Research staff have actually gone down, but we're now replacing those, if you like, with sales and data analysts and others who are supporting the Data Products and Services growth. So what that has allowed us to deliver is a 33% increase in operating profit to GBP 14.5 million. We note that it is a bit lower on constant currency basis. Weâve had some benefit, currency. And it's allowed us to increase our margin, as I just said, from 12% to 14%. And we've, therefore, also delivered a significant increase in earnings per share, 24% increase to 10.9p. I should comment, one of the reasons for the profit before tax to be significantly higher as well is that we also have the share-based payment add back within that, so that contributes to the profit before taxes of GBP 16.4 million. Okay. The balance sheet, we remain in a very similar position or better -- even more of the same, if you will, compared to last year. We've increased -- we've continued to bear down on our receivable days. We've actually gotten them down marginally by 1 day, and our creditor days have also come down. We've been able to pay people. Although we actually -- have actually also increased within trade payables, a significant increase of deferred subscription income, which is reflecting the growth in our data products, our subscription-based data products, and those clearly contributed to cash flow. But it is worth highlighting when people say that figure of GBP 23 million, and then ask questions about it, one does have to remember that some of that actually, is effectively partly entailed as a contractual commitment to deliver the services to our customers that they have paid for in advance. There's a minor retranslation mentioned there, for those of you who study numbers carefully, that our panel incentive, which is a provision we make against the payout of the panelist. We've actually reclassified that -- part of that to current -- well, the noncurrent simply because of the timing of when we expect to pay that. And I think, in total, that's -- the way we do our panel payments the last few years is that we estimate how many of those points that people who are taking surveys are going to actually get paid out. And currently, that's running at about 44% is our estimate of the eventual payout compared to the gross value. So I've mentioned cash flow already. It's been -- we achieved a similar, or same, actually, percentage of cash flow from operations as a percentage of adjusted operating profit, 130%, so we continue to over convert our operating profit into cash, and that's helped by the inflow of working capital and usually for growing business, which in itself, are based on those deferred subscriptions, as what we referred to, should be GBP 3 million to that. On the other side, we continue to invest on our technology development and spent GBP 3.4 million on that and GBP 3.5 million on our panel. You will note, those of you who look at the figures, there's been a quite a substantial increase in panel spend this year compared to last year. That was particularly in the U.S. and the U.K. where we wanted to boost the panel to allow for lower level, more granular sampling of constituencies in the U.K. and congressional districts in the U.S. There's, to some extent, a onetime effect, I think, in the U.K. particularly, but obviously, given the shift as more and more come to our panels, it's obviously vital that we keep our panel -- keep growing our panel as well. On the technology front, that's actually a relatively small increase year-on-year, particularly reflecting our work on Crunch. On the other hand, we paid a dividend of GBP 1.5 million, and you don't have to worry, we intend to increase that, and that led to GBP 7.5 million net cash inflow and a very healthy balance of GBP 23 million at the end of the year. In terms of the segments, we're reinforcing the message we've already said before that the Data Products growth, very significant, 29%, and Data Services, 19%, in underlying terms and in headline terms, in terms of sterling value, we see 37% increase in Data Products and Services, and 11% in Custom Research, so that contributed to the significant growth in the group. In terms of operating profit, as you already know, the Data Products and Services, in overall terms, have higher margins than Custom, that's why we're driving their growth faster. Data Products, which actually saw a slight increase in operating margin, that sort of reflects the fact that the period of investment, where we've spent a lot of money building up the teams and the support for launching Profiles, a period of investment in Profiles has sort of flattened out, and therefore, it's sort of gone -- the marginâs gone back to where it was a year or 2 back when itâs just BrandIndex. Data Services, on the other hand, is still in expansion mode, particularly in Asia Pacific, so we've seen the margin come down a little bit there, as we've invested in teams to grow our business in those areas -- that area, in particular, and a couple of other new markets. But obviously, both numbers are still very healthy. And Custom Research, really significant 2-point increase in the margin, from 13% to 15%, reflecting, as we've said already, that if you can really focus the business on the areas which are fundamentally on panel, so the margins we're getting in the U.S. and the U.K. now in Custom Research are actually well above 15%, you can get the rest of the group operating to that effect. That's part of our plan is to get Custom Research into a much higher profit level. And we've been able to absorb a significant increase in our central cost, particularly around teams involved with marketing where we're putting a lot of effort into marketing. And Stephan has already commented on the effect of that in the U.S., for example, of the mentions we're getting. And we're also still continuing to have our central teams doing analytics on other development activities. Quickly on the geography. Clearly, the -- some countries benefit a lot from the currency. If you take the constant currency growth, we still saw, in terms of the relatively mature market in America really going very well, and the U.K., 9%, so in our 2 biggest core markets, saw well above the market growth. Middle East is flat and thatâs reflecting some of the scaling down of activities in Dubai and Saudi Arabia, and more of that will come this year. In Germany, a real net decrease in real terms, and that was because we closed a particular -- or sold 1 unit and closed another there and really focused the business on Data Products and Services. And France and Asia Pacific continue to grow very significantly and obviously from smaller basis but beginning to actually get to quite some significant scale now. And so staying on France, for a minute, well, we are also pleased to see their margin coming in at 15%, so we're seeing maturity there. And at the top end of the scale in both absolute numbers and percentages, the U.K. has always been our highest margin area, and it's managed to increase its margins further, even more push on the operational efficiencies and the data products there. And we're seeing U.S. now getting into the 20s in terms of margin at 23%, so beginning to start -- as we said previously, beginning to approach the U.K. in terms of the level of profitability -- sustainable level of profitability that we get out of the U.S. and as we've really got there a fantastic base with BrandIndex and Profiles now. And the Middle East, reflecting a little bit the moving around of things there. Fairly static in Germany and Nordics. Again, Germany increasing its margin a little bit. So it was a healthy picture all round. And Asia Pacific, we're investing in still. And I think the other point about regional analysis is that long gone are the days where we're worried about regions. We've got all regions really pointing in the right direction, which is a good place to be. Stephan?
Stephan Shakespeare: Thank you. So YouGov as a global data and analytics company is something that we've been aiming at for quite a while. We've been using some of those phrases. But I think, now, it really is clear that, that's what we are. The growth of our data products and the addition, all the time, of new forms of data, which we're working on and especially new analytical techniques with that, some of which were added only recently with the U.K. election, and I'll be talking about that, really makes us not simply a market research company, but it is that we are a data company and a leading edge data company in how we construct the data and how we analyze the data. We have a panel of 5 million people and are unique in the way that we build our product around those 5 million people. It is the level of engagement and how long they stay with us that allows us to build up the rich structured data that is in Profiles and BrandIndex, in the Cube, in fact. And these 5 million people produced -- completed over 25 million surveys. That's a lot of data but this is connected data. This is data where everything that we ask them sits in the Cube and connects with everything else, and that allows us to innovate lots of different kinds of products, which we can talk about in a moment as well. We are one of the most quoted market research sources in the world. We're #1 in the U.K. by a very long stretch. We're #2 in Germany, and we're #3 in the U.S. I had mentioned that before. Being known in the U.S. is a major boon to the business and we are continuing to invest in our profile in the U.S., and that is, I think, paying off, as you see how well we've done in the U.S. in the last few years. We are one of the top 10 international market research networks. We have 30 offices worldwide, and that is beginning to show really significant reach. We used to say we were international. Now we say we're global because, I think, we can -- that justifies that. And we have fabulous clients, clients that are with us year in, year out, in many cases, because of the subscription basis that we have. We have over 2,000 clients, and they include some of the biggest names. Now these are people, a lot of these companies are companies that will work with lots of agencies. Lots of agencies will put them on their pages to say these are our clients. In our case, we have some of the really biggest companies in the world, the most innovative companies in the world that have us as a core supplier, not doing a few surveys but actually doing really major chunks of work for them on a regular basis. So we are well-embedded now in this market globally. The proportion of revenue, and I know this is a boring thing to go on about, but I'm going to talk a little bit more about this because of what I alluded to before about how Custom Research is actually becoming more of a Cube-driven product as well. We have wanted to grow that blue over the green and we've been quite tough with ourselves about not doing some kinds of Custom Research. It's been traditional to want to go after everything you can get. Don't leave money on the table. We're saying the exact opposite. We said, we must leave money on the table. We stop ourselves from doing the blue bit if we try and go after every green bit, as it were in this particular diagram, the blue and the green. It's necessary for us to not do some things because you can't do everything. One of the oldest rules of Adam Smith was that you have to major on what you're best at, and we're best at syndicated data. That's where we are different to everybody else and that is what we're doing. But having said that, after -- we're not going to change the way we calculate it now, but when we've achieved our 50-50 target, it will be, I think, important to look again at how we count Custom Research because Custom Research is increasingly being made into multi-field studies -- sorry, multi-wave studies, which sit on top of the Cube, which get more data from that, and so the differentiation between the best Custom Research we do and the syndicated products and services is getting smaller. And thatâs why we've seen the increase in margin in the Custom Research. BrandIndex is our flagship brand intelligence service. It is very successful, continuing to grow as fast as ever. It shows no sign of reducing its momentum. It is now also selling well in many more markets. We're in 32 markets altogether. BrandIndex is actually doing so well and becoming such a stable -- it's not stable, growing but such a continuously growing product because we keep adding to it. We add more data to it. So in the past, all you got -- and that was a strong offer, all you got was the data that we gave you in terms of the general population. There were 14 different measures, and you get the data as nationally representative numbers. You still get that, but now, because of Profiles, if you want to, you can take the richness of the underlying data, decide what your target groups are, and then recut the data by your target groups and watch them separately from the nationally representative numbers. That makes it a much richer tool for people and, therefore, it becomes increasingly sticky when you can combine it, not just with the syndicated data that everybody gets, but you can actually put your own segmentations into it and track those as well. It makes it a very efficient tool. So that is continuing to grow strongly. Profiles, which I mentioned which is the background data to our panelists and is available in a tool that really answers the central questions of marketing, which is who are my target groups and where do I find them? Where do I find them in terms of what media do they consume and then being able to see if, in fact, it's worked by checking the BrandIndex against your profile segments to see how it's changing. This is a very, very powerful tool. So powerful, in fact, that Dentsu actually went to the lengths of publicly announcing that they had dropped Kantar's TGI, which is the competitor, which -- that we've been -- that Profiles aims at, and has replaced TGI with Profiles. We think that's a very significant move. Dentsu is a company that controls or does about, I think, 1/5 of the world's marketing. So convincing them that we were better than TGI is a breakthrough for us, and we believe that Profiles will continue to grow at a strong rate and drive the stickiness and usefulness of our offer. Omnibus is also continuing to do well. We see there that the momentum or at least the growth pattern is stable. We are now adding Omnibus services in many other countries. So as we build those, they also, we believe, will grow. And so there's a lot of life and growth left in that product as well. Custom Research, I've talked about it several times because it is so important. It is still more than 50% of our revenue. The important thing for us was to say not just -- we don't like certain kinds of Custom Research, but how do we make Custom Research as a valuable part of the business as our syndicated products. And recall that we have very, very big global trackers for very large global companies that are custom in the sense that they are made just for those clients, but they are repeating month-by-month and in more and more countries, and so they become extremely efficient. Now we're building them on top of Cube data so that it isn't just the data that you've -- when you do a custom tracker, you don't only get the data that you've designed for your custom product tracking, but you also can add to that the data that sits inside Profiles, inside the Cube, and therefore, get added richness for it. And that further differentiates our offer, and we believe will allow us to get a bigger part of the central market research spend. So nearly every global company, every big company has large-scale trackers at the product level, not just at brand level. BrandIndex is a brand-level tracker, but they all require product-level trackers. We can now do those product-level trackers using Cube data and using the advantages of Crunch, which is, as I go on to -- as we shall see in a moment, Crunch is a very important part of -- is the analytics tool that allows us to do -- to marry the Cube with our Custom Research in an effective way. The engine of everything we're doing is the Cube. It's a way of organizing our data and of collecting our data and of thinking about our data that makes it connected and leverages that over and over again. So it's not just for syndicated products, it is also for Custom Research, and it also leads to other innovations that are coming through as part of our offer. You see them there at the bottom of that list. I'm not going to go through all of those. You know quite a bit of this already. But at the end, weâve got these data applications. These are new tools that allow you to use Cube data to do things that we didn't have a product for before. For example, dynamic segmentation, I was mentioning that you can use Profiles in order to find your target groups and then track them in BrandIndex, and we are creating templates by which you can have custom applications of that, that still use the syndicated data. You can track campaign effectiveness. You can recontact people in the panel who you identify through the Cube as being lost customers or lost customers of other companies and so forth. It's a very dynamic system that allows us to offer new products and create more and more add-ons and extensions of our data. That data is all now accessible via Crunch. Crunch is the very advanced analytics tool that we've -- that was produced in our West Coast office in Redwood City. I used to say Palo Alto. Unfortunately, we're now in Redwood City. It's a bit cheaper but not quite as sexy to mention. But Redwood City is a neighboring area, and that's where we've been developing -- and San Francisco -- this Crunch offer. Crunch is a -- allows you to look at all of the data in a very fast way, in a way that no other tool out there does. And that means that when you do research with YouGov, you can not only look at all your own data, you can look at your -- sorry, not only the YouGov data, you can also look at your own data and save a lot of time. Some of our biggest clients like ITV have been using Crunch now for a couple of years and it saves them a huge amount of time and effort and, indeed, money because it makes their data usage so much more efficient. So Crunch is a very important tool that adds to the stickiness of the offer and allows us to build new solutions through that. The big thing that happened in terms of our data analytics very visibly, of course, was last summer in that famous -- now famous election that Theresa May sort of, I was going to say lost, but she technically won it, but she obviously lost a lot of headway. And what, of course, was so big about that was we went out there at a time when pollsters were being doubted because theyâd got some things wrong. We went out there with a prediction that was extremely controversial. In fact, I'll just flick forward. We had someone like Iain Dale, who's a journalist who actually was part of YouGov in the early days and has always been a friend of YouGov, but even he couldn't believe what we were saying. If you want a good laugh, click on YouGov's constituency prediction page. Canterbury is going Labour, LOL, of course. And he was on Newsnight really making fun of us. Canterbury, of course, did go Labour. And Jim Messina, the famous guy from the Clinton -- from the Obama campaigns, and working for -- with Lynton Crosby for that -- on that campaign had spent the day laughing at yet another stupid poll from YouGov. So this is -- quite imagine the pleasure this gives us. If you look at the right side, we used MRP to construct -- to construe outcomes for each of 632 parliamentary constituencies, 7,000 U.K. voters each day were contacted, over 300,000 interviews, and we got most constituencies right, not most, I mean, like 90% -- more than 90%, including really difficult marginals, like Canterbury, like Kensington. Nobody believed they would go as we said and they did. And the point about this was it wasn't a lucky guess. It wasn't just a poll. It was actually a very granular piece of scientific modeling, data modeling where you could go in, we published everything, done with academics, and we predicted seats everywhere on the basis of complex modeling. We did it again in Germany recently, had a very, very good result, got most of the seats correct there as well. It was slightly trickier and not as good as this one because the Germans don't allow census data to be made available, and the basis of MRP is good census data. But even with poor data, we were the only ones to show AfD doing so well, and we had a good result there. The constituency -- again, the granular prediction of constituencies was huge. This is Simon Jackman, a well-known academic, showing some outside validation, showing the accuracy of our results in the U.K. election. And it was very nice to see the Wall Street Journal writing a piece, which was headlined, And The Winner of the U.K. Election is YouGov. So this was a very big deal for us. But normally, I say to you, well, politics is a small part of our business, tiny part, 1%. It's a shop window, but it's not that relevant to the rest of the business. MRP is not in that league. MRP is actually critical to the business because MRP is an analytical tool that is equally applicable and is being applied now to commercial market research. So for example, the equivalent would be that if you did a large-scale national survey for a supermarket chain, you could then get reliable data at the level of each supermarket's catchment area. And this is obviously a huge value because otherwise, you'd have to do separate surveys in each area, which would be hugely expensive. This allows you to get all the advantages of the whole MRP model for commercial gain. And that is why we are very excited about this because it makes -- it adds another unique ability to our Cube model. Without the Cube, without all the data in that, you can't do that level of accuracy at local level. So we have had a great year. What's really important about the year though is that it wasn't just that we got some good contracts, it was a validation of the tool, of the engine that we're building, and that engine has a huge amount of momentum now. And as I mentioned, Dentsu, for example, is -- demonstrates that we have a tool now that is highly scalable and that addresses the most central issues and concerns and workflows of marketeers everywhere. It is highly applicable, right across the market. It is the best and it allows us to really focus our efforts behind it. Outlook. Current trading is in line the board's expectations. The subscriptions sales are benefiting from improved interoperability between BrandIndex and Profiles and how they enrich each other. So it's going to be, we think, easier and easier to sell joint subscriptions, which has been one of the things that we've had some success with. Data Services is set to maintain consistent growth. And international expansion, we're bringing the mini Cube, as we call it, to every office where we do BrandIndex. Custom Research margins are also improving and our reach has now extended to Italy, Spain, Poland and India, these are the offices that we either have or about to open, and we remain on track to hit our 5-year organic growth plans. Now maybe the real reason for the croak in my voice is the sadness at the fact that Alan, who has been with us for so long, is -- well, you're not actually going to be hanging up your boots, you'll be doing one -- I'm sure you'll be doing more with us, but it is the time that you've chosen to go into retirement -- well, not retirement, but whatever that meant. You know what I'm saying. You're leaving us. You've been, for the critical period of YouGov, we were -- when you came, we had gone through some troublesome times. We'd been in a bit of a mess, and you were there to help us to stabilize and grow out of that. And in that period, we've come to be a much more profitable and successful company. So I thank you very much for your service and I know that we'll be working -- in some ways, we'll be working together in the future. So thanks very much. I'd like you to join me in just a round of applause for Alan because he has been so important for us. Thank you very much. Now questions.
Paul Richards: Paul Richards, Numis. In the presentation, you sort of flagged an increased level of investment in data services, and the margin stepped down, particularly in the second half, quite significant. Can you just talk us through the sort of quantum of that investment and the pace of payback on that coming through? Second question, I mean, Dentsu is a fantastic announcement. Can you confirm that's sort of a multiyear announcement? And also, I mean, it feels like it's a big loss for WPP, so are you expecting a competitive response from TGI? And then, finally, just some thoughts on custom margin and revenue, sort of we saw the structure has sort of maintained revenues and a couple of percent increase in margin last year. Should we expect a sort of similar sort of profile over the next year or 2?
Alan Newman: I'll take your last question first. Custom margin, well, this year, we'll probably see custom top line flat or even go down a bit because as we say we've reduced certain activities further in the Middle East, so there'll be a year-on-year effect of that. And yes, we are expecting or looking for margins to improve, again, somewhere between the 1 and 2 points increase, or towards the 2-point increase we've had this year, I think, it will be hopefully between 1 and 2. Based on continuing to do, what Iâve just described earlier, which is to focus our custom business on -- especially on being on panel, or in panel, which is inherently higher gross margin, and secondly on areas where they can also at least not be so much at the mercy of price competition because we're focusing on things where we have, as Stephan described, a competitive advantage. So the net effect should be to the small -- potentially small real terms top line drop and a 1% to 2% margin improvement and looking to keep doing that for a year or 2. On your data services question, that's mainly, I would say, a temporary effect because -- particularly in Asia Pacific where we've been growing our business in Asia Pacific overall, and it's still loss-making in Omnibus and data services, the largest part of that business at the moment. So I'd expect it to sort of -- to be steady this year at margin, if not come back a little bit as we're not investing so much this year in those areas.
Stephan Shakespeare: Alex has actually been very close to the Dentsu piece. So do you just want to -- he's our Chief Strategy Officer.
Alex McIntosh: I think, there's 2 things there. I think, there's a benefit for us in offering a competitive product to WPP to agencies like Dentsu because WPP is a competitor to them. And so we're welcomed with open arms in some of those conversations. The thing that allows us to compete very strongly against the existing incumbent products is the fact that we're doing everything online. We're not starting from an offline base where we're having to translate many, many years of data collection from an online -- sorry, offline methodologies to online. And so our ability to outgun people on number of respondents, number of variables and the recency of that data is unparalleled.
Stephan Shakespeare: There was a question on multiyear -- whether it's a multiyear.
Alex McIntosh: Oh, in terms of -- it is a multiyear agreement.
Paul Richards: And WPP means the markets not part of this is taking it lying down. So the agreement and product enhancements or pricing to advance to stay in the market.
Stephan Shakespeare: Well, they're obviously an extremely powerful and smart company, and I'm sure they can do lots. But we have, at the moment, absolutely, clearly, the best product by a streak, I would say, in this area. And it's up to us to keep adding to that and stay ahead. If we were just to be satisfied with it, anybody could eventually take -- reach our level and exceed it, but we are putting everything into this. That is to say it is the quantity of data, it is the type of data, and it is the tools on top. It, of course, also has many years of back data that's impossible to reproduce, which means we can start to put benchmarks in there that can be -- that will be very useful. As long as we keep growing the panel, growing the engagement of the panel, getting more data out of them, then it will be impossible for somebody to improve on what we're doing because that is what we're good at, that is what we're specialized in, that is what we have created. I mean, this is essentially a new invention. It's based on technology. It's also based on panel and understanding panel. A lot of things come together. So I do think that this is a very, very clear path for us in the future, which is to put everything into BrandIndex, Profiles or the Cube, put everything into Crunch, what sits on top of that, and to develop that as the way to approach your -- the whole marketing cycle. I think, winning over, it's not just Dentsu, there are many agencies and many powerful brand owners and, indeed, media platform owners that are coming on board for this.
Alan Newman: Just worth making the point that in this complex world, you might say competition and cooperation, some of our largest class of Profiles are GroupM, which is a WPP media agency, so they themselves recognize they need the best data for their clients and they buy it.
Fiona Orford-Williams: Fiona Orford-Williams, Edison. Is GDPR actually a commercial opportunity, given the different way that you've got -- get your data? And the second one is about reports. We were talking about new style reports last time and the freemium model and what's happened to that?
Stephan Shakespeare: Weâve talked about it, literally a standing item on board meetings, but not under that name. But yes, I mean, we think that's a good, a welcome piece of legislation, possibly. I don't know all the deals and how they're working -- how it will work out, but it will be -- it's very important because privacy is very important, especially in Europe, and I think it will become the standard everywhere. And of course, it suits us very well because we believe in permissioned data. We believe in data transparency. We are highly responsible about this because we've always conceived of all of our products as being panel-based, panel-centric. And that means we rely entirely on people's willingness not only to share their data with us, but to do it over a long period of time. That is what lies behind the methodology and the products that we've developed. And therefore, we put transparency and responsibility and, as well, giving value back to the panelists as a very high priority. The reason that we clearly will be able to thrive under that environment is because we are highly permissioned. Everything about joining the YouGov panel is in order to make your voice felt. It is in order to empower the people that are on our panel, and so we use the data entirely for purposes that: a, they've signed up for; and b, that they actually think is important to themselves. So yes, we welcome that, and it is an advantage to us. The second part, reports, well, reports have been, for us -- I mean, this is a transitional piece because weâve wanted to make the reports to be essentially marketing tools that show -- that lead people into the -- into buying Profiles, buying the Cube. And we don't envisage having lots and lots of different things going on, we really want everything to be focused on the Cube, first of all, that you become a subscriber to the Cube. The way that I would see YouGov in 5 yearsâ time, I hope, when the next 5-year plan is written, and we hope -- we're actually working on that, and I think it's very -- when you have -- by the way, as an aside on the sort of 5-year plan, when you have a very, very clear model with very clear things working as the driver of that, it is possible to look forward and to say these are the things, these are the long-term commitments we're making to development. And I've mentioned the Bloomberg of market research for many years now, and it's becoming quite real, the last part of the technological piece is the dashboard that brings together all of the tools so that you enter as a subscriber and you get everything in front of you. We're pretty close to that. And Crunch, of course, is the enabler of that. And so everything for us is about getting people to subscribe to the Cube. So selling them reports is much less important to us than getting them to subscribe to the model, to the Cube. So we now have a real conveyor belt of reports coming out, several reports a week, which are all using Cube data and all highlighting why the Cube is powerful for marketers. That's their entire purpose. Some of them are sold, and some of them are sold profitably. And so there is a revenue directly from some of those reports, which are more designed for that. But most of them are designed to create leads and to bring people into the ambit of the Cube.
Unknown Analyst: [indiscernible] from Peel Hunt. I've got 2 questions, please. And firstly, you've mentioned that in Custom Research, there are some -- a part of revenue, which is kind of in the gray area where it could be classified as syndicated research. What's the percentage youâll say? And secondly, MRP, which you've mentioned, does that mean you're using Custom Research, or is it also in your Omnibus products? Actually, thereâs one more question. And could you talk a bit more about the development of the app for surveying and how is it adopted, how well was it adopted, et cetera?
Stephan Shakespeare: Very good. So the first one is what proportion is in that -- gray area makes it sound slightly negative. I mean, it's actually a really valuable part of the business. And I would say that something like GBP 20 million of our revenue is in that area of -- if you're thinking about our big global trackers.
Alan Newman: Yes, thereâs about â essentially like GBP 15 million is actually trackers and then there's a whole lot of other projects, which are associated with syndicated data subscribers.
Stephan Shakespeare: Yes. So -- I mean -- and it isn't -- there isn't one precise location. There are things that are very, very close to being like a syndicated product, if you like, to those that are using the data a little bit. So it's hard to give you a precise number but it's that sort of quantum. The second part was MRP. So MRP is -- when I say we're working -- it's being done. The application to commercial is something we're working on. It's not something we've done for a client yet, we will be doing it for a client before long, I mean, as a sort of lead experiment, if you like. But that will -- this requires -- MRP requires a lot of data, and so it isn't something that you would use for small projects. It was something that you would use for large-scale projects. I think there will be an application to the Cube itself where you can use it to impute data and so forth, but this is a little bit beyond my ability, we are -- of our ability and knowledge. MRP is a new technology. We're not the only ones that have it, by the way. This is an open source technology, but we are the ones that have, I think, been closest to the development of it and the application of it. The final bit was about the app. The app is now working properly, that is to say fully functional in the U.K. and the U.S. Around 15% of our panelists there are using it. And we'd obviously like to see it -- to see that increase. A new -- it's in its second iteration. A third iteration will be released within 2 months, which makes -- which improves it further. It's obviously important to us because it allows us to get other data as well, permissioned data as well as informing people very directly when they have a survey so we can get a speedier response rate from that. Any more questions? Well, thank you very much.